Operator: Good morning, and welcome to the Umpqua Holdings Corporation Second Quarter 2022 Earnings Call. At this time, all participants are in a listen only mode. After the speakers' presentation, there will be a question-and-answer session. As a reminder, this call is being recorded. At this time, I would like to introduce Jacque Bohlen, Investor Relations Director for Umpqua to begin the conference call.
Jacque Bohlen: Thank you, Michelle. Good morning, and good afternoon, everyone. Thank you for joining us today on our second quarter 2022 earnings call. With me this morning are Cort O'Haver, the President and CEO of Umpqua Holdings Corporation; Torran Nixon, President of Umpqua Bank; Ron Farnsworth, our Chief Financial Officer; and Frank Namdar, our Chief Credit Officer. After our prepared remarks, we will take your questions. Yesterday afternoon, we issued an earnings release discussing our second quarter 2022 results. We've also prepared a slide presentation, which we will refer to during our remarks this morning. Both of these materials can be found on our website at umpquabank.com in the Investor Relations section. During today's call, we will make forward-looking statements, which are subject to risks and uncertainties and are intended to be covered by the Safe Harbor provisions of Federal Securities Laws. For a list of factors that may cause actual results to differ materially from expectations, please refer to Slides two and three of our earnings presentation, as well as the disclosures contained within our SEC filings. We will also reference non-GAAP financial measures alongside our discussion of GAAP results. We encourage you to review the GAAP to non GAAP reconciliation provided in the earnings presentation appendix. We'll now turn the call over to Court.
Cort O'Haver: Okay. Thank you, Jacque. I'll provide a brief recap of our performance and pass to Ron to discuss financials. Frank will discuss credit and then we'll take your questions. For the second quarter, we reported earnings available to shareholders of $79 million. This represents EPS of $0.36 per share compared to the $0.42 reported last quarter and the $0.53 reported in the second quarter of last year. On operating basis, which excludes a number of interest rate driven items, and merger expenses that Ron will review, EPS of $0.37 compares to $0.36 last quarter and $0.55 in the second quarter of last year. The return of a provision for credit losses compared to 2021's recapture was the primary driver of the annual variance. Notably, rising interest rates and portfolio loan growth enabled higher net interest income to exceed lower mortgage banking revenue. Customer tax payments contributed to a 2% decline in deposits for the quarter, but we are seeing growth in the third quarter to date. Loan balances grew $1.5 billion in the second quarter, representing a quarterly growth rate of 6.3% and annualized growth rate of 25%. The second quarter's growth reflects an anticipated pickup in activity relative to the first quarter that expand business lines, portfolio classes and geographies given favorable market conditions and the continued momentum of our associates in both new and existing markets. The loan portfolio was up 8% this year, meeting the mid to upper single digit levels of annual expansion we have been discussing over the past few quarters. Slower payoff activity relative to 2021 and a small increase in net advances in the second quarter favorably impacted net portfolio growth in the first half of the year. At this point, market trends in our existing pipelines indicate continued loan growth into the second half of the year, but at likely slower pace than the second quarter's significant volume. We remain acutely focused on the health of our new and existing borrowers and our new loan production mirrors the high quality metrics exhibited by our overall loan portfolio. In June of this year, we published our annual business barometer, which measures the mood, mindset and strategic priorities of leaders at small and middle market companies across the United States. Inflation and rising interest rates are driving an increase in the cost for goods, talent and capital for these businesses. Our customers managed through the pandemic and then gained knowledge over the past two years, enabling them to adjust strategies and adapt to challenges in front of them. While many business leaders reported more cautious views of the overall economy compared to the prior year, they remain confident in their resilience and ability to continue to grow their businesses to expand revenue, improve -- and improve profitability. We remain focused on being the business bank of choice for these existing and prospective customers and our bankers and support teams will continue to focus on providing a distinguishing level of service that enables us to win business with strong companies throughout our markets. Now moving on to a handful of other initiatives. Our ongoing advancements in payments technology, most recently through two commercial card solutions in collaboration with Visa continued to produce tangible results as commercial card spend set new records during the quarter and was up 50% in June, compared to the year ago period. The pipeline is strong across all fee based businesses, which includes treasury management, cards, merchant and international. Our teams continue to implement enhancements to our product offerings and service capabilities and we expect a busy second half of the year as many of the initiatives currently under development are brought live. As an industry, home lending is facing significant headwinds given the sharp increase in mortgage rates and the impact of volume -- and the impact on volume and margins. As previously announced, we reduced headcount earlier in the second quarter and we implemented other strategy measures to shift production towards saleable volume, which is a more profitable business segment. We will continue to take necessary steps to adjust the business model in light of the current operating environment, which we expect to persist for the foreseeable future and we are evaluating multiple options. Everything is on the table with regard to our mortgage business. Regarding capital. Yesterday we declared a $0.21 per share dividend payable to our shareholders of record as of August 1st. While the amount is consistent with historical payments, the timing has accelerated compared to our prior cadence as we continue to plan for our pending combination with Columbia Banking System. We currently target a close date during the third quarter, where the timing will ultimately be determined by the receipt of all regulatory approvals, which we have not received to date. As we detail on slides six and seven of the deck, we continue to make headway with our integration planning and our scheduled Q1 of 2023 core system conversion date remains achievable at this point, given our ability to separate conversion planning activities from the legal close date. As we have discussed on prior calls, the integration management office, which includes senior executive leaders from both Columbia and Umpqua, enables Umpquaâs bankers to have an undisturbed focused on generating business and serving customers. The separation of our integration planning activities from our growth objective has enabled us to successfully drive our business forward. We continue to attract and hire exceptional talent, which has enabled us to build deeper presence in existing markets and expand in new desirable areas like Colorado and Arizona. Proven local leaders who know their regions are joining Umpqua. They are embracing our expertise driven and personalized team based approach to customer relationships and their success is highlighted by the growth momentum exhibited over the past several quarters. Our operating markets and top tier banking teams support my expectation for net expansion through 2022 and into 2023, outside significant economic deterioration, which we have not seen yet today. And with that, Ron, take it away.
Ronald Farnsworth: All right. Thank you, Court. And for those on the call, who want to follow along, I'll be referring to certain page numbers from our earnings presentation. Starting on page 12 of the slide presentation, which contains our summary of quarterly P&L. Our GAAP earnings for Q2 were $79 million or $0.36 per share. The adjustments to our internal operating measures with various fair value changes from interest rate volatility, along with merger and exit disposal costs, which are detailed in the appendix on slide 31. On an operating basis, we earned $80 million or $0.37 per share. For the moving parts as compared to Q1, net interest income increased $19.4 million or 8%, representing the power of our interest bearing cash, skipping bonds and water falling down into loans this quarter, combined with the recent Fed rate increases. We had a provision for credit loss of $18.7 million, driven primarily by continued strong loan growth. Non-interest income declined $24.7 million, reflecting lower home lending gain on sale revenue, along with the fair value adjustments driven by the significant bond market sell off and higher yields. Namely MSR and  (ph) gains, mostly offset by rate driven fair value losses on bonds and loans held at fair value. As detailed later on the right side of slide 31. And non-interest expense declined $2.9 million or 2% from lower mortgage banking and payroll tax expenses. As for the balance sheet on slide 13, interest bearing cash was used to fund the significant loan growth and deposit decline. The decline in investments AFS, related primarily to the unrealized loss resulted from higher market yields this quarter, as new purchases offset maturing cash flows. Overall loans held for investment increased $1.5 billion or 6% during the quarter. This was net of $71 million in PPP loan forgiveness. This makes five quarters in a row of robust loan growth, and the total non-PPP growth over the past year was $3.6 billion or 17.3%. At quarter end, we had $102 million in remaining PPP loans. And deposits were up 2%, driven in part by seasonal tax payment trends and continued reduction in time deposits. Our total available liquidity, including off balance sheet sources ended the quarter at $14.3 billion, represented 48% of total assets and 55% of total deposits. And noted on the bottom of slide 13, our tangible book value declined due to the AOCI rate mark on AFS investments, but we've also added measures for this and TCE ratio, both including and excluding AOCI for reference. Slide 15 highlights net interest income and the declining effects of PPP and acquired loan accretion. The base increase again due to the recent rate increases, along with reducing cash, funding record loan growth. From a rate volume standpoint, increasing rates led to $13 million of the $19 million increase with volume and mix making up the $6 million difference. Following that on Slide 16 of the presentation, the trends for our net interest margin. Our NIM increased 27 basis points in total to 3.41% in Q2 and represent a waterfall on the margin change on the right of the page. And NIM excluding the impact of PPP allowance and discount accretion was up 32 points in Q2, which is great to see the impact of continued non-PPP loan growth. Our cost of interest rate deposits increased slightly to 11 basis points in Q2, though the spot rate at June 30 was 10 basis points. Equivalent with Q1's average level. Key for me here is, following the 125 basis point increase in the federal funds rate during Q2, our NIM for the month of June was 3.60%, another 19 basis points higher than the full Q2 amount, which bodes well for the remainder of the year. The next two slides include information which investors may find helpful in continued rate sensitivity. First, on slide 17 we provide the repricing and maturity characteristics of our loan portfolio. The first table on the upper left breaks down the pricing drivers on loans. I mean, as of quarter end 35% of the portfolio is fixed, 31% is in floating rate and 34% are in adjustable rates over time. The lower left table shows the maturity schedule by category. The upper right table shows loan rate floor buckets for floating and adjustable-rate loans, 8% of the combined total were at their floor. Meaning, 92% have near floor or above it. For the $1.3 billion in floating and adjustable-rate loans at their floor, the lower right table breaks down the balances by rate change, band, loans with weighted average rate change required at least loans to move above their floor. Hopefully, investors and analysts will find this information useful in assessing the beneficial impact on net interest income of future potential rate hikes. Next on slide 18. On the left, we've included our projected net interest income sensitivity for future rate changes, in both ramp and shock scenarios over two years. This is a simulation we run in back test quarterly and assumes a static balance sheet. The deposit beta used in this simulation is 45% on interest-bearing deposits. For sensitivity on our model results, every 10% change in the absolute beta is plus or minus 1.2% on the plus 100 basis point shock results. The table on the right shows our deposit betas in the last rising rate cycle, starting Q3 2015 and land through Q3 2019 to catch the lag effect. Our beta then was 42% of interest bearing deposits. Okay. Now to our segment disclosures. Starting with the core banking segment on slide 21 of the presentation. Net interest income increased $20 million in Q1 given the higher rates and loan growth discussed previously. I'll talk about CECL and the provision in detail in a few minutes, but you'll see here we had $18.7 million provision this quarter primarily related to continued loan growth. The next few rows shoe the fair value changes due to rising interest rates. I mean, there's a group where $10 million loss in Q2 compared to $17 million fair value loss in Q1. Non-interest income of $34.5 million was down from Q1 due to lower gain on sale -- lower gain on sale gains are fully being offset by continued growth in card-based fees. In the non-interest expense section, you'll see the merger expense recognized to-date on the combinations, along with exit and disposal costs related to lease exits on recent store consolidations. The direct non-interest expense for the core banking segment was up slightly this quarter primarily related to some non-recurring project cost. The efficiency ratio for the segment improved to 57%, knowing this would be 54% ex-non-operating fair value changes and merger exit costs. In the operating disclosure for the core banking segment, back in the appendix and also on Page 24 of the release, it's good to see the operating PPNR increased year-over-year. Which is great to see the benefit of continued loan growth and rate increases, more than offsetting the significant decline in PPP fees over the past year. This a significant and bodes well for future core banking revenue with forecasted Fed funds rate increases. Turning now to slide 22 of the presentation, we show the mortgage banking segments five quarter trends. To start, the continued increase in longer-term yields, rate of volatility in our volume, gain on sale margin and MSR valuation. We had $577 million in total loans held for sale volume this quarter, down 11% from Q1, due entirely to lower activity with higher rates. The gain on sale margin was 2.62%, up slightly from Q1. These two items resulted in the $15.1 million of origination and sale revenue noted towards the top left of the page. Our servicing revenue is stable and for the change in MSR fair value the passage of time piece was stable, while the change due to valuation inputs was a gain of $10.9 million, due again to the increase in long-term interest rates in the quarter. Non-interest expense totaled $24 million for the quarter. Again, this represents held for sale origination costs, servicing costs along with administrative and allocated costs. The direct expense component of this was $13.2 million as noted on the right side of the page, representing 2.3% of production volume, up slightly in basis points from last few quarters with the lower volume. As noted towards the bottom of the page, the MSR is at a record high evaluation of 1.39% as of quarter end. We are working through the governance and risk management process to hedge the MSR asset in an effort to reduce future net volatility. We expect to have this in place over the next few months and we'll keep you updated. Couple of final items before I turn it over to Frank. On slide 24, we've included the quarterly loan balance roll forward. Quarterly non-PPP loan growth was driven by a $2.6 billion in new originations and net advances, offset by $1.2 billion in payoffs. Next, let me take your attention to Slide 26 on CECL in our allowance for credit loss. And as a reminder, our CECL process incorporates the life of loan reasonable and supportable period for the economic forecast for all portfolios, with the exception of C&I, which uses a 12-month reasonable and supportable period reverting gradually to the output mean thereafter. We use the consensus economic forecast this quarter updated in May. Overall, the forecast showed improvement in some areas, offset by higher expected inflation and interest rates. We recognized a $19 million provision for credit loss with about two-thirds of that for the quarter strong loan growth. And one-third for slightly deteriorating economic variables. The ACL at quarter end was 1.12%. As these are economic forecast driving the reserve, it will simply take the passage of time to see if net charge-offs follow this model. But today, the models have simply overestimated the actual net charge-offs given a lag of at least eight quarters. Our day one CECL level was right at 1% on the ACL which is about $30 million lower on the ACL for non-PPP loans than we were at currently. All else equal, this excess ACL will either be charged off in future periods if the models are eventually proven correct or be recaptured and/or used for providing for future loan growth if the economic forecasts improve. Time will tell. And lastly, I want to highlight capital on page 28. Knowing that all the regulatory ratios remain in excess of well-capitalized levels, our Tier 1 common ratio was 10.9% and our total risk-based capital ratio is 13.5%. At bank level, total risk-based capital ratio was 12.6%. And with that, I will now turn the call over to Frank Namdar to discuss credit.
Frank Namdar: Thank you, Ron. I want to call your attention to Slide 25. We have provided expanded disclosure on the characteristics of our loan portfolio to highlight how new loan generation in the second quarter compares to the overall loan book. The average size of new loans is larger than the existing portfolio averages, given higher real estate values, the mix of loans within those portfolios and our intentional focus and investment in middle market bankers. Moving on to Slide 27, our non-performing assets to total assets ratio of 0.15% was relatively steady with the prior quarter, and our classified loans to total loans ratio declined 0.75% after last quarter's modest increase. Our annualized net charge-off percentage to average loans and leases was only 11 basis points in the quarter, reflecting continued below average net charge-off activity in the FinPac portfolio. The FinPac portfolio's ratio came in at 1.47%, notably below its historical 3% to 3.5% range for the fourth consecutive quarter, still reflective of higher levels of customer liquidity and the impact of strategic credit tightening implemented last year. My expectation continues to be a gradual migration to historical norms over the coming quarters in this space. Essentially all of the quarter's charge-off activity was in the FinPac portfolio as the banks activity was de minimis. We continue to be very pleased with our credit quality metrics. Charge off activity is minimal, non-performing and classified loan ratios are low, delinquency migration continues to cure. This latter metric remains great to see, as it's a positive signal of stability within the portfolio. We remain confident in the quality of our loan book and we look forward to continued high quality growth, balanced with effective and active risk management practices. Back to you, Cort.
Cort O'Haver: Okay. Thank you, Frank and Ron for your comments. We will now take your questions.
Operator:  Our first question comes from Jeff Rulis with D.A. Davidson. Your line is open.
Jeff Rulis: Thanks. Good morning.
Cort O'Haver: Hi, Jeff.
Jeff Rulis: Question on the kind of the management of deposits and itâs bit of a hypothetical here, but I guess as you look at managing a loan to deposit ratio, do you take into account the assumption of the Colombia merger? I guess, in other words, would you press harder to retain deposits absent the merger? Or is it -- you are truly running in an isolated basis. Any thoughts on sort of deposits retention with and without the merger?
Cort O'Haver: Hey, Jeff. Cort. So, it's a good question. Quite frankly, we are still Umpqua Bank, we're still on our own slugging it out and we will continue to manage until we get approvals and close this bank on an independent fashion. So to answer your question, we are just doing what we've been doing all over the last five to seven years, which is, a balanced growth philosophy of loans and deposits will continue down that road. And like we mentioned -- Rod mentioned in my comments, we have seen a bounce back in deposits based on all the good work that have gone on over the prior quarters and we'll continue to do that as we get closer to close.
Jeff Rulis: Got you. Fair enough. And, yeah, I guess, the other part -- other question I had was, maybe for Ron. Could you -- you've mentioned the June margin average, what was that the timing of the cash work down through the quarter? In other words, does the margin for the quarter or for the month of June reflect kind of the full cash deployment? Or is there sort of a lag into the third quarter? For the cash impact only.
Ronald Farnsworth: Good question, Jeff. It was pretty ratable over the course of the quarter. So not exactly third, third, third by month, but pretty close. So we will definitely see some lift in margin. And on a quarterly basis in Q3 compared to Q2, and again, that will be what happens on the deposit beta side.
Jeff Rulis: Got it. Thank you. And maybe a last one, just on the expenses. The drop in comp expenses, what portion of that was kind of variable or mortgage? And/or what piece was may be structural savings, if any?
Ronald Farnsworth: Yeah. Jeff, this is Ron again. And there's a good slide in the presentation deck and letâs say, it's probably Page 20 of the deck. Iâd say, that couple of million dollars was on the home lending side for the quarter. I mean there is some lag there and there's another just under $2 million payroll tax related are the two primary drivers of the drop in comp.
Jeff Rulis: I guess maybe to quantify that a bit more. On the next gen savings left to come in â22, is there much more there or is that kind of complete for the year?
Ronald Farnsworth: I'd say we're pretty close to that run rate. Because right now, we're right smack dab. I mean if you back out merger and exit and disposal costs, we'll basically ballpark in the middle of that 690 million to $710 million range I gave on expenses for the year. I feel pretty good about where we are at.
Jeff Rulis: Thank you.
Ronald Farnsworth: Yeah. You bet.
Operator: Our next question comes from Jared Shaw with Wells Fargo. Your line is open.
Jared Shaw: Hi, there. Good morning, good afternoon. Thanks. Hey, just following up on the deposit question, as we see the loan to deposit ratio moving higher, does that -- should we think that maybe we get to that sort of full 45% deposit beta faster as you sort of fight for deposit retention at this point? Or I guess, how should we be thinking about building into that 45% beta?
Ronald Farnsworth: Hey, Jared, this is Ron. I'd say -- I fully don't expect to see that hit right away. That of course is a modeled amount based on past experience. We'll see how it plays out over the course of the second half of this year. But my expectation would be for some NIM left early in Q3 just based off of the math from the month of June versus the quarter and Q2 looking forward. Again, the key is going to be growing deposits slightly more than loans for the second half of the year, we're able to execute on that. And my guess would be, we will end with 45% beta.
Cort O'Haver: Hey, Jared, Cort, let me just throw on you. We have a different philosophy than maybe prior deposit cycles, if you will, about how we look at relationships. And you've heard Tory and I talked about at nauseam about our balanced growth philosophy. We've seen that in the run-up of deposits. This is the way we're continuing to grow C&I customers, which carry much higher deposit balances relative to borrowing level. So it's a completely different company than it was when we go into a raising rate environment. I just want to make sure everyone keeps that in mind.
Jared Shaw: Yeah. That's a good highlight. Thanks. And then on the commercial real estate side, there was solid growth this quarter, are you starting to see the impact of higher rates yet on sort of that incremental demand? I mean, maybe that pipeline in terms of how they're evaluating incremental purchases? Is it, right now things are still pretty good on CRE as we go into third quarter.
Torran Nixon : Hey, Jared. This is Tory Nixon. I think the place where we're seeing interest rates impact, real estate, commercial real estate the most is in the multifamily division. And we had a really strong Q2 in multifamily. And some of that is just a result of borrowers getting financing done and in place before this continued rise in interest rates. So certainly, it was a very robust quarter there for that reason, as much as anything. The pipeline -- the pipeline for the entire company is very strong, the pipeline for the multifamily division is down a bit and for obvious reasons and rates being not one.
Jared Shaw: Okay, that's good color. Thanks. And then just final question for me. You said that you're still looking to not move the integration date for the deal if we get approval here in the near term. I guess, what's the latest approval could come before you have to actually start thinking about changing the conversion integration date.
Cort O'Haver: We've got some time â Jared, this is Cort. Obviously, as we get closer to the holidays we would either probably issue some type of statement, but we've got.
Jared Shaw: Okay. Thanks for taking the questions.
Cort O'Haver: Yes, thank you.
Operator: Our next question comes from Matthew Clark with Piper Sandler. Your line is open.
Matthew Clark: Hey, good morning.
Cort O'Haver: Good morning.
Matthew Clark: Trying to get a sense for how much of the loan growth this quarter was kind of a pull forward in anticipation of higher rate  so comfortable with mid to  high single-digit loan growth, given higher recession?
Torran Nixon: Yeah, Matt. Tory Nixon, again. The loan growth for the quarter was quite spectacular actually in -- we had interestingly enough, we had growth in every line of business in the bank over the quarter. And that's actually very, very nice to see such a lot of diversification in the growth. I think there's three primary factors for it. One is, as I've alluded to and talked about earlier in multifamily division, part was getting loans done and booked and funded prior to increasing rates if it's a fixed rate product. Although that's not a lot of what we do, but that is certainly a bit of it. I think the other reason for growth is just because of rates are little less on the payoff side than historically we see. So that also provides a little bit of a lift for us. And I think just lastly is, some very robust efforts by all the folks in the bank, both -- all the RM that are customer facing and back office folks. As Cort talked about earlier, this focus around balanced growth in relationship banking us spending time with our customers and continuing prospects. So we've got a very robust sales effort in the company and pipelines continue to look strong. And I feel very confident that as we come in -- as we are in the quarter three, we'll have some nice loan growth, not albeit not at the same level I think is what we had in Q2, but we do have very strong growth in all different parts of the bank forecast.
Matthew Clark: Sorry for that. Just last question for me. Do you have a guesstimate for where you think your pro forma CET1 ratio will shake out with Colby based on your latest results in your estimated rate marks.
Ronald Farnsworth: Hey, Matt, this is Ron. I'd say, overall, obviously, when we announced the deal last fall rates were much lower. Most of the marks were premium marks and not they  with higher rates to be discount marks. Overall though, it's really going to be a function of where we'll be when we close this. Iâm not going to speculate where that might be, but we do have healthy capital  which is one of the reason for having that capital efficient and a rate mark discount would also accrete back in income pretty quickly. So we'll give updates as we get closer.
Matthew Clark: Okay, thank you.
Operator:  Our next question comes from Andrew Terrell with Stephens. Your line is open.
Andrew Terrell: Hey, good morning.
Cort O'Haver: Good morning.
Andrew Terrell: Cort, I wanted to go back to some of your comments earlier in the call around the mortgage division, maybe everything being on the table. Just trying to get a sense or love some color on, I guess, at this point in the rate cycle, what type of efficiency ratio you would view as acceptable in the mortgage division?
Cort O'Haver: Let me start with your mortgage has been an important product for the company and will continue to be an important product for the company. It does serve us well. Clearly, the mortgage market, both refinance and new purchase has pretty much going through the floor. And as we've talked about in the years that I've been CEO, we have a scalable model, both up and down. We do anticipate that with rates being up, specifically in the markets that we used to right here with the lack of available inventory, we don't see mortgage getting back to the levels it was three, four quarters ago. That being said, we were going to have to continue to look at the model and reduce cost. To give you an actual efficiency number, I'm not able to do that, but I am telling you that we are looking very, very hard at the model, it has served us well to this point. I think on a go-forward basis the capital and I'll say, the burden it places on the company is something that we need to take into account as we look at pure profitability and we're going to do. And I'm not going to get on a call and announced a dramatic shift in the business model without communicating with our people. But we are looking at the model and, like I mentioned, everything is on the table. It's just not going to be where it was and we understand that. We'll make move -- communicate that with you all soon as we get to the point where we have a model that we want to talk about.
Andrew Terrell: Okay, great. That's really helpful color. I appreciate it. Maybe one for Ron. I mean, we all know that the production picture is going to be challenged, but looking at the gain on sale margin in the mortgage business, it was pretty stable around close to 2.5% number quarter-on-quarter, any reason to think there would be any margin degradation going forward on the gain on sale side or do you think it'll be pretty stable near this 2.5% level?
Ronald Farnsworth: Well, I'd say, bigger picture, it's hard to give guidance on something with such volatility in the right markets which caused that headwind on the gain on sale margin. So I'd like to think it would be higher than that. It has been historically refined, but there is probably more to tell on where you think rates are going to be and I can give you better answer.
Andrew Terrell: Yeah. Okay. If I could sneak one last one in as well, just Frank, on some of your comments around just a really low level of FinPac charge-offs we've seen so far. Is there any way to think about or if you've done any analysis on just how much more liquid these borrowers are versus kind of pre-pandemic levels? And then kind of so far in the third quarter have you seen any of that kind of normalization higher in charge-offs come to fruition at all?
Frank Namdar: Hi, Andrew. Yeah, it's just with the volume of individual lessees within that portfolio. That number is just too hard to get at in terms of a dollar figure for customer liquidity. So we really focus on that delinquency number. And does this point that delinquency number has really held pretty steady? And so far, so good. And it's with inflation the way it is. My expectation is that, that liquidity within those small businesses will gradually continue to decrease and payments will be more difficult to make and delinquencies will rise and as those raise they likely will migrate through the delinquency bands and return to that -- closer to that normalized historical number.
Andrew Terrell: Okay. Great. Thank you all for taking my questions.
Cort O'Haver: Thank you.
Operator: You our next question comes from Chris McGratty with KBW. Your line is open.
Chris McGratty: Great. Thanks. Excuse me. Ron, can you remind us the monthly cash flows or then quarterly cash flows off the bond book? And also what the strategy might be from here given the growth -- the loan growth accelerating? Should we just assume this portfolio continues to fund loan growth?
Ronald Farnsworth: Hey, Chris, this is Ron. Yeah, I'd say, on the cash flow side, obviously prepays slowdown to  on the CBR side, right? Which just went up, and so it's probably going to be10s of millions of dollars a month on the lower end of that compared to where we were year, year and a half back with  prepays . I'm not looking at that specifically to fund loan growth, Iâm looking at continued deposit growth, right? Balance deposit growth just north of loan growth, which seasonally we usually see in the second half of the year. So that's the  I think the bond portfolio to be relatively static aside from fair value changes as rates move higher.
Chris McGratty: Okay, that's helpful. Finally, on the acquisition, you said in the release just the regulatory world that we're in. Anything additional you can share. I mean, it feels like it just taken a long time, and the HHI issue is something I feel the questions with? But just any color on what might be driving that a little bit of slower approval process?
Cort O'Haver: First of all, itâs a merger than acquisition. But we're going to comment on individual examiners and where they're at, there is a process you all know. There was a series of deals ahead of us going into the year, which I think you all know, some of those got cleaned out right around the first of the year. There was a backup, if you will, in the entire process. So, we are just kind of working through the process. We feel good about where we're at with all of our regulators, we talk to them on a regular basis. Going back to the question on core integration. We don't feel like we need to move that date at this point, we've separated like we've talked about before the approval and the closed from the core integration, which is really the tipping point and the beginning point of all the cost saves associated with and revenue synergies with the merger. So we feel good about it. And obviously, if something changes, we will certainly let you know immediately, but right now, maybe a little longer than we anticipated, but  right? So we just work through.
Chris McGratty: Great, thank you.
Cort O'Haver: You got it.
Operator: There are no further questions. I'd like to turn the call back over to Jacque Bohlen for any closing remarks.
Jacque Bohlen: Thank you, Michelle. We would like to thank you for your interest in Umpqua Holdings Corporation and participation on our second quarter 2022 earnings call. Please contact me if you'd like clarification on any of the items discussed today or provided in our presentation materials. This will conclude our call. Goodbye.
Operator: This concludes today's call. You may now disconnect.